Operator: Good day, and welcome to the Second Quarter 2015 Earnings Release Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mike Majors, Vice President, Investor Relations. Please go ahead.
Mike Majors: Thank you. Good morning, everyone. Joining the call today are Gary Coleman and Larry Hutchison, our Co-Chief Executive Officers; Frank Svoboda, our Chief Financial Officer; and Brian Mitchell, our General Counsel. Some of our comments or answers to your questions may contain forward-looking statements that are provided for general purposes only. Accordingly, please refer to our 2014 10-K and any subsequent Forms 10-Q on file with the SEC. Then, I will now turn the call over to Gary Coleman.
Gary Coleman: Thank you, Mike, and good morning, everyone. Net operating income for the second quarter was $133 million or $1.05 per share, a per share increase of 30% from a year ago. Net income for the quarter was $127 million or $1 per share, a 2% decrease on a per share basis. With fixed maturities and amortized cost, our return on the equity as of June 30 was 14.7% and our book value per share was $28.91, a 7% increase from a year ago. On a GAAP reported basis, with fixed maturities at market value, book value per share was $33.94 approximately the same as a year ago. In our Life insurance operations, premium revenue grew 5.7% to $520 million while life underwriting margin was $139 million, down 1% from a year ago. Despite the growth in premium, underwriting margin declined primarily due to higher claims in Direct Response. For the full year, we expect life underwriting margin to increase 1% to 3% over 2014. Life sales increased 6% to $108 million. On the Health side, premium revenue grew 8% to $232 million and health underwriting margin grew 4% to $52 million. The growth in underwriting margin lagged the growth in premium due to the large amount of group business added in 2014 which has lower margins than our other health business. For the full year, we expect health underwriting margin to increase 2% to 4%. Health sales increased 8% to $31 million. Administrative expenses were $47 million for the quarter, up 3% from a year ago and in line with our expectations. As a percentage of premium, administrative expenses were 5.7% the same as a year ago. For the full year, we anticipate that administrative expenses will be up around 6% to 7% and around 5.8% of premium. I will now turn the call over to Larry Hutchison for his comments on the marketing operations.
Larry Hutchison: Thank you, Gary. I will now go over the results for each company. At American Income life premiums were up 9% to $207 million and life underwriting margin was up 6% to $64 million. Net life sales were $50 million, up 13% due primarily to increased agent counts. The average agent count for the second quarter was 6,603, up 15% over a year ago and up 5% from the first quarter. The producing agent count at the end of the second quarter was 6,516. We expect life sales growth for the full year 2015 to be within the range of 11% to 13%. Our Direct Response operations at Globe Life, life premiums were up 7% to $188 million, but life underwriting margin declined 16% to $37 million. Net life sales were flat at $45 million. We expect 4% to 6% life sales growth for the full year 2015. At Liberty National, life premiums were $68 million, approximately the same as a year ago. Our life underwriting margin was $18 million, down 3% from the year ago quarter. Net life sales grew 6% to $9 million. Our net health sales increased 4% to $4 million. The average producing agent count for the second quarter was 1,550, up 4% from a year ago and up 6% from the first quarter. The producing agent count at Liberty National ended the quarter at 1,550. Life net sales growth is expected to within a range of 5% to 7% for the full year 2015. Health net sales growth is expected to be within a range of 2% to 4% for the full year 2015. At Family Heritage, health premiums increased to 8% to $55 million while health underwriting margin increased 5% to $11 million. Health net sales were up 4% to $13 million. The average producing agent account to the second quarter was 960, up 27% from a year ago and up 22% from the first quarter. The producing agent count at the end of the quarter was 969. We expect health sales growth to be within a range from 8% to 10% for the full year 2015. At United American General Agency, health premiums increased 16% to $88 million. Net health sales increased from $9 million to $10 million. Individual sales grew 21% to $7 million while group sales declined 6% to $2.8 million. For the full year 2015, we expect growth in individual sales to be around 15% to 20%. As we discussed last quarter, we expect lower group sales in 2015 due to the unusual number of large group cases we acquired in 2014. Premium revenue from Medicare part D declined 11% to $75 million, while the underwriting margin declined from $9 million to $5 million. The decline in underwriting margin was in line with our expectations, was due to the increase in Part D drug cost discussed our previous call. We expect Part D premiums of $305 million to $315 million for the full year 2015. Expect margin as a percentage of premium to be approximately 6% to 8%. I'll now turn the call back to Gary.
Gary Coleman: I will spend a few minutes discussing our investment operations. First, excess investment income. Excess investment income, which we define as net investment income, less required interest on policy liabilities and debt, was $57 million, approximately the same as the second quarter of 2014. On a per share basis reflecting the impact of our share repurchase program, excess investment income increased 5%. We have discussed on previous calls the effect of Part D on excess investment income. Excess investment income was negatively impacted by Part D to the extent of $2 million in the second quarter of 2015. Excluding the negative impact of Part D, excess investment income would have been at 2% compared to the year ago quarter and up about 7% on a per share basis. For the full year 2015, we expect excess investment income to decline by about 1% to 2%; however, on a per share basis we should see an increase of about 3% to 4%. At the midpoint of our 2015 guidance, we're expecting a drag on excess investment income from Part D of approximately $8 million. Now regarding the investment portfolio, invested assets were $13.6 billion, including $13.1 billion of fixed maturities and amortized cost. As of the fixed maturities, $12.5 billion our investment grade with an average rating of A- and below investment grade bonds are $580 million compared to $563 million a year ago. The percentage of below investment grade bonds to fixed maturities is 4.4%, the same as a year ago. With the portfolio leverage of 3.6 times, the percentage of below investment grade bonds to equity, excluding net unrealized gains on fixed maturities, is 16%. Overall, the total portfolio is rated A-, same as the year ago. In addition, we have net unrealized gains in a fixed maturity portfolio of $1 billion, approximately $935 million lower than at the end of the first quarter. The decline in unrealized gains were generated by higher interest rates, not by concerns over credit quality. Due to the recent events in Greece, I'd like to everyone of our limited exposure there. We have no direct exposure to Greek sovereign debt and we have no exposure to companies that do business primarily in Greece. We don’t expect to realize any losses should Greece exit the Euro zone. To complete the investment portfolio discussion, I'd like to address our investments in the energy sector. I believe the risk of realizing any losses in the foreseeable future is minimal for the following reasons. Over 96% of our energy holdings are investment grade. At the end of second quarter, our energy portfolio had net unrealized gain of $69 million. Less than 8% of our energy holdings are in the oilfield service and drilling sector. We have reviewed our energy holdings and concluded that while we may see some downgrades we believe that the companies we invest in can withstand low prices for an extended duration. Now to investment yield, in the second quarter we invested $250 in investment grade fixed maturities primarily in the industrial and financial sectors. We invested at an average yield of 4.7%, an average rating of A- and an average life of 30 years. For the entire portfolio second quarter yield was 5.85%, down 7 basis points from the 5.92% yield in the second quarter of 2014. At June 30, the portfolio yield was approximately 5.83%. The midpoint of our guidance for 2015 is same as the new money yield of 5.0% for the two quarters of the year. And one last thing. We are encouraged by the potential for higher interest rates. As discussed previously on analyst calls, rising new money rates will have a positive impact on operating income by driving up excess investment income. We are not concerned about potential unrealized losses that are interest rate driven reflects it on the balance sheet as we would not expect to convert them to realized losses. We have the intent and, more importantly, the ability to hold our investments through maturity. Now I'll turn the call over to Frank to discuss share repurchases and capital.
Frank Svoboda: Thanks, Gary. First, I'd like to briefly discuss a few items impacting our 2015 earnings guidance. As Gary mentioned, growth in life underwriting income lagged behind the growth in premium in the second quarter due to higher policy obligations in our Direct Response operations. In the second quarter this year, policy obligations at Direct Response were 52% of premiums versus 49.1% in the first quarter and 48.1% for all of 2014. As discussed on our last call, we thought the percentage would trend higher during 2015 and be around 49% for the year primarily due to anticipated higher claims related to policies issued in calendar years 2000 through 2007. With claims data through June 30, we are now seeing higher claims than anticipated on policies issued in 2011 through 2013 as these policies exit a two-year contestability period. Beginning in 2011, we introduced the use of prescription drug database information into our underwriting procedures for certain adult policies with an expectation that our mortality experience would be better on such policies than historical experience. While actual mortality related to policies issued in 2011 through 2013 has not been greater than historical levels, they are higher than we assumed when the policies were issued. Approximately, 9% of the premium collected in 2015 relate to policies issued in 2011 through 2013 were used as a prescription drug database. We believe the higher than anticipated claims will continue throughout the year and, thus, we are now revising our estimate of policy obligations for the full-year 2015 to a range of 50% to 51% of premiums. At the midpoint of this range, the Direct Response obligations will be approximately $12 million higher than previously estimated. This increase is in the expected policy obligations at Direct Response is the primary driver of the $0.05 reduction in the midpoint of our guidance from $4.28 to $4.23. Now regarding our share repurchases and capital position. In the second quarter, we spent $86.3 million to buy1.5 million Torchmark shares at an average price of $56.93. So far in July, we have used $15.8 million to purchase 269,000 shares. For the full year through today, we have spent approximately $192 million of parent company cash to acquire 3.5 million shares at an average price of $55.25. The parent started the year with liquid assets of $57 million. In addition to these liquid assets, the parent will generate additional free cash flow during the remainder of 2015. Free cash flow results primarily from the dividends received by the parent from the subsidiaries less the interest paid on debt and the dividends paid to Torchmark shareholders. We expect free cash flow in 2015 to be in the range of $355 million to $360 million. Thus, including the $57 million available from assets on hand at the beginning of the year, we currently expect to have around $417 million of cash and liquid assets available to the parent during the year. As previously noted, to-date, we have used $192 million of this cash to buy 3.5 million Torchmark shares, leaving around $225 million of cash and other liquids assets available for the remainder of the year. As noted before, we will use our cash as efficiently as possible. If market conditions are favorable we expect that share repurchases will continue to be a primary use of those funds. We also expect to retain approximately $50 million to $60 million of liquid assets as a parent company. Regarding RBC at our insurance subsidiaries. We plan to maintain our capital at the level necessary to retain our current ratings. For the last two years, that level has been around an NAIC RBC ratio of 325% on a consolidated basis. This ratio is lower than some peer companies but it is sufficient for our company in light of our consistent statutory earnings, the relatively lower risk of our policy liabilities and our ratings. As of December 31, 2014, our consolidated RBC was 327%. We do not anticipate any significant changes to our targeted RBC levels in 2015. As we have discussed on prior calls, S&P changed their view last year after the treatment of certain intercompany preferred stock and requested additional capital be contributed to our insurance subsidiaries to retain our credit ratings. We have reviewed various alternatives available to us and are scheduled to meet with S&P in August or September where we will discuss potential solutions and courses of actions with them. Based on our analysis to-date, should we decide add additional capital, we believe we will be able to address the additional capital needs without significantly impacting our free cash flow available for buyback. One option available is for Torchmark to issue additional hybrid securities treated as debt for financial reporting purposes, but equity for S&P capital purposes. If we were to issue such securities in an amount sufficient to meet the entire shortfall we estimate that the overall impact on EPS would be less than $0.01 per share. Those are my comments. I will now turn the call back to Larry.
Larry Hutchison: Thank you, Frank. For 2015, we expect our net operating income to be within a range of $4.18 per share to $4.28 per share, a 5% increase over 2014 at the midpoint. Those are our comments. We will now open the call up for questions.
Operator: [Operator Instructions]. And we will take our first question from Jimmy Bhullar of JPMorgan.
Jimmy Bhullar: Hi. First, I just a question on the response claims and you get the amount and the impact on the benefits ratio. Seems like the amount on an annual basis should be about $0.06 a year, so if you could confirm whether that is right. And then, should we expect that will continue into next year and at least for the next few years? And then, secondly, on the agent count at American Income has dropped from beginning to ending obviously on an average basis it was up, maybe you can discuss what drove the decline and what your expectations are for agent count growth at American Income?
Frank Svoboda: Jimmy, on the direct response the $0.06 impact for 2015 is right, I mean, until we see as far as the additional impact overall. For 2015 as we had indicated, we see the policy obligations being in that 50% to 51% range and as far as kind of trying to see out -- at our best estimate at this point of time for where that might go in 2016, we see that overall the policy obligation for Direct Response maybe being in that 51% to 52% range and bringing the Direct Response margin maybe down in that 20% to 21%. So, that is really just based on the data that we have available to us today and where we see that going.
Jimmy Bhullar: Okay. And on the agent count American income?
Operator: And our moderator's line has disconnected, I'll have to dial back out to them. If you could please standby I'll dial out to our moderator at this time. [Operator Instructions]. And we still have Mr. Bhullar on from JPMorgan.
Jimmy Bhullar: And just to be clear on the Direct Response business, it's not that you have seen a sudden spike in claims but it's more you would assume that claims get better and the margins would be better because of the user prescription drug information, and in reality they just have not been, right?
Frank Svoboda: Jimmy, that is exactly correct.
Jimmy Bhullar: And this is -- it is mostly related to the decline this quarter was related to one discreet block as opposed to a spread across the block? Are those policies as opposed to spread across various subsidiaries or other parts of business?
Frank Svoboda: Yes, largely that is correct, I mean there is a little fluctuation, we had some seasonal fluctuation but largely the case.
Jimmy Bhullar: And those are like the fluctuations are just normal volatility in claims from quarter-to-quarter, right?
Frank Svoboda: That is correct.
Jimmy Bhullar: Okay, thanks. And then lastly just on the agent count drop at American Income it did grew on an average basis but it was down from the end of the previous quarter. So maybe just if you could discuss what drove that and your expectations growth at American Income?
Larry Hutchison: Jimmy, this is Larry. Meeting agent count is less important to the average agent count, there's some fluctuations every quarter just on the last day it depends on the terminations that comes through. If you look at the overall results for the last year we see we have some agent growth. Now we still expect to meet our producing agent count projection of 6,800 to 7,000 agents for 2015.
Jimmy Bhullar: Okay. Thank you.
Operator: We will take our next question from Erik Bass with Citi.
Erik Bass: Hi, thank you. I just had one follow up first on Direct Response. Since you now identified two blocks of issue or the policies from 2000 through 2007 and then the 2011 through 2013, and so I guess was there any difference in kind of your underwriting or pricing assumptions from kind of that 2007 through 2011 period that gives you comfort that you won’t see any higher incidence of claims there? And I guess the same question would be for 2014, 2015. Were there any changes that you made to your unit pricing or to your assumptions for the most recent years?
Frank Svoboda: Yes, Erik. With respect to 2011 to 2013 really the change that had taken place again was a lowering of the overall mortality assumptions because we had started using that prescription database. And that assumption did will carry through, through the 2015 issue years, those are not -- 2014 and 2015 are not out of the contestability phase yet. So, we really haven’t seen any claims emerging on those. And of course we are tweaking a little bit over time how we use the Rx but clearly we will be taking a look at how we are using the Rx, why we are not getting any benefits that we had anticipated and be making the appropriate decisions with respect to 2016. So, we do see that being contained within the 2011 through 2015 block. But it really is different than the 2000 through 2007 and some of the higher mortality that we were seeing in the 2000 that earlier block has been built in to -- that portion has been built in the overall assumptions in those later years.
Erik Bass: Got it. So there was a change in your assumptions kind of in the 2008 period?
Frank Svoboda: Really, yes, overall with regard to some of those earlier years.
Erik Bass: Got it. Okay. So you don’t expect kind of the issues you are seeing in the 2007 -- or the 2000 through 2007 block to continue into later a few years?
Frank Svoboda: That is correct.
Erik Bass: Okay, thank you. And then just one question you gave the target you had for the year-end the agent count for American Income. Would you mind providing any update for Liberty National as well as Family Heritage given the strength that you have seen in recruiting them in past couple of quarters there?
Larry Hutchison: Sure. We expect the year-end agent count in Liberty National to be in a range of 1,630 to 1,660 agents. At Family Heritage, we expect the year-end agents count to be in a range of 975 to 1,000 agents.
Erik Bass: Thank you.
Operator: We will take our next question from Yaron Kinar of Deutsche Bank.
Yaron Kinar: Good morning. I want to go back to direct response business if I could, and couple of questions there. One is on the previous call I think you talked about the early 2000 vintages being the ones that showed claims activity, now you are talking about 2007. So does that suggest that you have seen elevated claims activity now really moves a little further to the newer vintages as well beyond the 2011 through 2013 issue that we discussed?
Frank Svoboda:
 -- :
Yaron Kinar: Okay. I got -- just to clarify. On the last call you talked about the early 2000 vintages, I think you'd also said that those are vintages they were over a decade old. Now, you're talking about 2000 to 2007. So the 2005, '06, '07 years seem to now quite fall into that category?
Frank Svoboda: Now, it's like -- well, when I talked about the 2000 through 2007 issue years still that is the same vintage that we're referring to on the prior calls.
Yaron Kinar: Okay.
Frank Svoboda: That part hasn't changed. We really haven't changed our outlook right now with respect to additional claims on that particular block.
Yaron Kinar: Okay. And had the 2011 to 2013 vintage data not developed the way it had, will you still have expected the benefits for this year to fall and within the 48.5% to 49% range, which you've previously offered?
Frank Svoboda: Yes, been really close to that 49%.
Yaron Kinar: Okay. And maybe one last question on this direct response business. How quickly do you expect the 2000 to 2007 and the 2011 to 2013 vintages to run off? What's the rate of the decay here?
Frank Svoboda: Yeah. I'm not sure. I mean, the obviously run off was over really long period of time.
Yaron Kinar: Yes.
Frank Svoboda: But the -- what we kind of see right now is that probably the peak of the adverse experience of all it expected probably going to -- would be and maybe in like 2017 and that as those years, the 2015 consolidates its contestability period. So we kind of see that has been the low point as far as direct response to margins is concerned and then being able to improve after that.
Yaron Kinar: Okay. And I'm sorry. Maybe I sink in one last one. In direct response, we're also seeing a bit of a slowdown in sales. Is that just distributable to repricing of that business now that mortality data has come in a little higher than expected?
Larry Hutchison: I think if you recall, the second quarter of 2014 was the largest projection quarter in the history of direct response. So actually, we're pleased with the slight increase this quarter. We still expect an increase in sales in direct response this year in the range of 4% to 6%.
Yaron Kinar: Okay. Thank you.
Operator: And we'll take our next question from Steven Schwartz from Raymond James & Associates.
Steven Schwartz: Yeah. Hey. Good morning everybody. Just a little bit more on the direct response. First, the -- Frank, the earlier years 2000 to 2007, did that perform in-line with your current expectations for the quarter?
Frank Svoboda: For the quarter, we saw just little bit higher seasonal fluctuation that we really do anticipate coming back to the normal trend over the course of the year. Our expectation for the full-year is still in that kind of in that range we talked about last time, probably increasing the overall obligation percentage by 0.4%, 0.5%.
Steven Schwartz: Okay. Great.
Frank Svoboda: And so we really haven't changed our overall outlook for that.
Steven Schwartz: Okay. Great. And then on the newer stuff, could you explain the importance of the contestability period ending in this calculation or how you see things? And why is that so important?
Frank Svoboda: Sure. Well, for the first two years after issue we have the ability to context any claims that come in during that period of time.
Steven Schwartz: All right.
Frank Svoboda: But after the end of that two year contestability period the claims are now become non-contestable unless we can prove certain things with respect to that application. But -- so your -- so if you look at the history of this product that third year tends to be the one of the highest claim years and then it tends to trend down after that. So that's when you start seeing those really early claims.
Steven Schwartz: Okay. Well -- okay. Is that just timing of is that -- okay. Anyway -- all right.
Frank Svoboda: Yes, it is just the timing of that.
Steven Schwartz: So 2011 through -- pardon me?
Frank Svoboda: Yes, it is just the time of that. It's just that that particular product seems to behave.
Steven Schwartz: Okay. So 2011, you would have seen the losses occur in 2014? Would you have seen losses beginning to occur in 2012 or 2013? I guess I'm a little bit confused about why you're confident that those are going to be bad as well and going forward.
Frank Svoboda: Sure. So for the 2011 issue year, we have seen a very little clean activity prior to really at the end of 2013 and then end of 2014. And so 2014 is when you really start seeing the claims activity for that third policy year, not really developing. And then of course you're starting to see some of that claim activity for the fourth policy year as well. For the 2015 -- so during 2014, you see some higher claims, but again you're kind of limited to just very small piece of information on one particular policy year. Late in 2014, now in 2015, you're starting to see some of those claims for that third policy year for the policies that were issued in 2012 and we're starting to see some of those same patterns. And then, of course, 2013, they're just starting to enter that third issue year -- third year after the issue year. And so you're barely starting to see some of those, but it's getting some of that additional data with respect to 2012, some very early returns on 2013 where you're starting to see some consistency that we can rely upon.
Gary Coleman: Steven, I would add that Frank has mentioned 2011. We didn’t start to use the Rx information until late in 2011. So really 2012 is the first year we really had enough issues where can start see and experience in late 2014.
Operator: We go next to Randy Binner of FBR Capital Markets.
Randy Binner: I'm going to stick with that topic, because after Schwartz asked those questions, I guess I'm not clear. This type of direct coverage, would you describe this as final needs-type coverage? And the reason I ask is that it seems like you're having mortality events relatively quickly. Is that the right way to characterize this type of coverage?
Frank Svoboda: In general, yes. And those tend to be very quick.
Randy Binner: And so when you all said that you were exiting the contestability period, what is it that you have been successful on disputing in that period, and does that have anything to do with the Rx data?
Frank Svoboda: I'm sorry, Randy, on that, you kind of cut out on that little bit. I didn't quite catch that whole question.
Randy Binner: In the contestability period, what is it that you were contesting, and does that have anything to do with the Rx data or is it more typical contestability type stuff?
Frank Svoboda: It's more normal contestability type stuff. So, obviously, you're looking at how the answers and what information they've provided to you, and whether or not there is any misrepresentations with respect to the application. The Rx data, we just simply use to extend that we have authorization from them, we can verify whether or not some of that information on the application is in fact --
Larry Hutchison: Some of the blame that Rx is not in the contestability period, but it's a time issue. You have a better underwriting picture and so you either decline some of the business you otherwise would have issued, where some of that is rated as substandard business. So it's not really just a contestability period, it's evaluating the risk if you're underwriting for the life insurance.
Randy Binner: Really not --
Frank Svoboda: We didn't see that much difference during the contestable periods for these claims. And remember, the issue here is not that the mortality is worse and what we experience in the past, what has happened as we've experienced about the same mortality as we did before we started using the prescription drug as an agent. But the problem was we assumed that we were going to have better mortality in our reserves and that’s why you're seeing the increase in the policy obligations. That’s an overall. What we need to look at is the Rx in certain segment that we think probably is benefiting and others is not, and we will have to evaluate what it does and determine how we use that going forward. But I do want to emphasize, we're not seeing worse mortality than we saw before. We're seeing about the same. The problem is, we thought the Rx would lead us to better mortality.
Randy Binner: Understood. I just wanted to clarify some of those concepts. And then if I can sneak in another one, just going over to the investment yield. So Gary, I think you said that the midpoint of your EPS guidance assumption is for a new money rate of 500 basis points in the back half. Did I get that number right, the 500 basis points?
Gary Coleman: Yes. That’s --
Larry Hutchison: That is correct.
Randy Binner: And so when we discussed the same topic last quarter, I think that's similar assumption was 475 basis points. So I guess you're 25 basis points higher, and is that because the 10-year, even though it's only up like 15 basis points year-to-date, it's about 25 basis points higher than where we were three months ago? Is that the right way to think of it? And the follow-up there is -- are you actually seeing 500 now, when you're investing today?
Gary Coleman: First, to answer your question, it is because of the uptick in Treasury rates. We look at more 30 years instead of 10 year, because of how long we invest. And also to answer your questions, what we've invested so far in this quarter were about 5%.
Randy Binner: And is that still A or is that in the BBB area?
Frank Svoboda: I believe that’s in the A-, BBB+ area.
Gary Coleman: Right. BBB+.
Randy Binner: Okay. BBB+. I'm going to ask one more. Then on this notching proposal within NAIC level 1 and 2 securities potentially. Do you have any thoughts for us on that, how that could affect your RBC ratio or how the industry might potentially deal with more categories within NAIC level 1 and 2 from an RBC ratio perspective?
Frank Svoboda: The industry as a whole and the industry associations are working pretty closely with the NAIC trying to limit the number of categories from where additional factors might come in play. So that's clearly a work in progress. I think, I said before we kind of see that as a 2017 or '18 event. And that’s the latest information that we have, that's still the best estimates. From an impact our preliminary are using some of the information they have out there, that is of course subject to change, it could mean maybe a 20 basis points to 25 basis points change, reduction in the overall RBC percentage. What we don't know is for sure is then how do the rating agencies and how the users of the RBC data, how do they react to that and so that what we'll have to do from that perspective.
Randy Binner: But it is not affecting your thought. I mean you're buying BBB+, because that’s where you see good economic value and also liability matching this change has no impact on that, right?
Frank Svoboda: That’s exactly right.
Operator: And we'll take our next question from Mark Hughes of SunTrust.
Mark Hughes: Seen any changes in pricing or your underwriting criteria that are going to impact sales in Direct Response business?
Larry Hutchison: Mark, we've done that in past. We always adjust our segmentation, modeling, the nationalized sales and profits, so that’s a constant process as to market for Direct Response.
Mark Hughes: Right. Is that to say given what you've seen in terms of the claims activity, that you will be raising prices or tightening up your underwriting?
Larry Hutchison: It depends on the segment that you are talking about. We wouldn't necessarily raise all prices, but certain segments as we see differences, not just claims, but response rates, inquires. We adjust our pricing, and we adjust our modeling and our marketing to fit that data that comes back to us.
Mark Hughes: Right. And this would normally be circumstances that would lead to adjustments that might constrain sales going forward?
Larry Hutchison: It might constrain sales on certain segment, but I don't think it would be fair to say it would constrain sales overall. You just reemphasize your marketing.
Mark Hughes: Got you. And then in the third quarter of last year, the med supp sales within Direct Response, you had a very big quarter. Is there any reason to think that might recur again this year? I know you've said you've got tough comparisons or you wouldn't necessarily trend line that, but 3Q was very big last year. Is any of that renewing? How should we think about that?
Larry Hutchison: Probably renewing. In terms of new cases we think we will see a decline in new cases since we had an unusual number of new cases last year in the group. In the individual we're predicting 15% to 20% growth for the entire year in our med supp sales.
Mark Hughes: Okay. And then a final question. The impact of the Medicare Part D, I think you said it was a $8 million drag, how will that play out in 2016? Will it be an equivalent drag, or will the drag lessen up?
Frank Svoboda: Yes, Mark, at this time the best estimates are that we will end up with a receivable as of the end of the 2015 approximately the same as where we were at the end of 2014. So I would think the drag would be somewhere in the same area.
Mark Hughes: So as we think about 2016, you think it would be similar?
Frank Svoboda: Correct.
Operator: We go next to Eric Berg of RBC.
Eric Berg: Thanks very much. Two questions related to Direct Response. Do I have it right when I say that with respect to the 2000 to 2007 block, that in contrast to the 2011 to 2013 block, in which you are not experiencing higher than expected mortality, you're just not getting the improvement that you had anticipated, in the earlier block you are experiencing higher than expected mortality?
Frank Svoboda: That is correct.
Eric Berg: Is that right?
Frank Svoboda: That's right.
Eric Berg: And then what your -- it seems to me, when an insurance company has higher than expected number of death claims or larger claims, it could be for any of a number of reasons. As you have studied these claims from these seven issuance years, what's your initial or best sense of what is at the root of the problem?
Frank Svoboda: As we've really taken a look at those claims yes, interestingly enough there really isn't one particular area that seems to be sticking out, if you will, as far as where those additional claims might be coming from. The only thing that that tends to may be a little bit higher than what would be normal average would be some deficit as relating to respiratory illnesses. Other than that that there really is not, when we looked at how we segmented in different areas really it's very little that sticks out.
Eric Berg: My second question relates to this pharmacy, the Rx thing. I'm just really scratching my head here on the following sense. I would think that if you took two individuals of identical health, non smokers, same height, same weight, same body mass, let's just assume they have identical health, and you tell me that person A is taking seven different medications for heart and may be cancer and blood pressure and what have you, and the other person is prescription-free, drug-free, that there's no information content in that at all? There's no value in knowing that person A is taking many medications? I just find that -- I'm just scratching my head like you guys are. What do you think is going on here? What's your initial sense of what's going on here?
Frank Svoboda: It is a good question, because that is -- when we have and when we've been using the Rx we would exactly why we assume that we would be having the better mortality that is why we're taking a look at that now to really understand why we're not seeing the benefits that we really saw. Is it just in the type of data that we're getting? Is it just simply how we're using that data? Obviously, on some, we do have some more rejects applications that are rejected using the Rx that we would have otherwise. So it's helped in that standpoint. But that's really the question we're trying to get an answer to so we can make the appropriate decisions.
Eric Berg: And you don't even have an initial hunch as to what's going on here, why this didn't help you?
Frank Svoboda: Not yet at this point in time.
Operator:
.:
Bob Glasspiegel: Just a quick question on follow-up to Mark Hughes. If the receivable stays constant on the recovery from the government, wouldn't it be a neutral next year on investment income? At some point, this reverses. But if you reverse it, once you got up and put new stuff up, it seems like it would be a neutral to investment income.
Gary Coleman: Bob, you're right it would be neutral. It would be about the same drag next years as this year.
Bob Glasspiegel: Okay. And at some point, it would reverse, right? Do you have a sense on what year that would be?
Frank Svoboda: It should reverse by the end of 2016. And then of course depending upon what happens with 2016 claims activity and the receivables and whatever is generating new in 2016.
Bob Glasspiegel: Right. So if the drag stays the same, but it's not an incremental drag, so investment income should move up with cash flow and yields and not be impacted in 2016, and then it becomes an equivalent positive in 2017 to the negative it's been in this year?
Frank Svoboda: Yes, that's correct. And when I had answered it, I was look at just a drag not an incremental drag, but it's correct, it would be the similar drag in '16 as it is in '15 but then presuming that the receivables actually get to go down or by the end of 2016 you would see the real incremental benefit in '17.
Bob Glasspiegel: Okay. Buyback. Last year's annual report, I think you said you were getting near, but hadn't reached intrinsic value where buyback was the first best use. But you sort of sent a warning that if the stock kept running, last year it was up 4%, it's up, even with the correction today, 10%. Are we anywhere near the point where the warning has to be sent out that dividends might be a use, or is buyback still below intrinsic value?
Gary Coleman: Bob, we still believe the buyback is below the intrinsic value and we are trading at the higher even when we wrote the annual report, we are trading at higher multiple, but we still believe it's -- we haven't reached intrinsic value. And so we continue to buy, because still, the return we're getting is in excess of our cost of capital by a good margin and also the return we're getting exceeds return that we're -- we could get on alternative uses. So we will continue on. As we've said before, if we think the price get to at or above the intrinsic value then we'll have to reassess at that point.
Bob Glasspiegel: Frank's speech was the same as it's been the last 36 quarters, so it seemed like that was the case. But appreciate it.
Operator: We'll go next to Ryan Krueger of KBW.
Ryan Krueger: I guess, first one, I wanted to follow-up on the prescription drug data. I guess just to be clear, do you only use that when you price Direct Response business, or did you also use that in that some of your other businesses when you were underwriting those?
Larry Hutchison: Yes, it has been used in just very limited situations with respect to some older age issuances in the other agencies. And again I will stress its very limited circumstances and we had not reduced any of our mortality assumptions for the use of Rx in those other agencies. So it's just simply been just an added tool in the underwriting process there.
Ryan Krueger: So it's really isolated to Direct Response at this point, for the most part, is that correct?
Larry Hutchison: That's correct.
Ryan Krueger: Okay. And then just follow-up to Randy's question on the RBC changes. I know at this -- do you -- I know it's early on still, but it seems like the rating agencies tend to use higher capital charges than the RBC formula already. So I mean is it your best guess that even though RBC ratios will change and go down for the industry, that it won't necessarily change the way that you and others are managing capital?
Larry Hutchison: I think that is a very real possibility and you're right S&P has their own capital, factors that they use, and which are higher, and would really be more similar to what the NAIC is looking to move towards, and then Moody's and A.M. Best how they would look at it. But we would anticipate that, or at least, it would be a possibility that no changes at all would be necessary.
Operator: We'll go next to Colin Devine of Jefferies.
Colin Devine: Thank you. Just to come back, one more thing on this Rx issue. It seems to me, if I'm understanding what you're saying, when you went to that, you assumed mortality would improve. And so I would presume that had some impact on your pricing decisions. Now that it hasn't, it would suggest, I guess, that you're under priced. How much are you thinking right now you may need to raise prices, excuse me, if the Rx data just isn't giving you what you need?
Gary Coleman: Well, Colin, it's too early to answer that. Just one thing we will be looking at it. But it's not necessarily we would have to raise prices, it may mean there are certain segments, certain age group, certain --
Larry Hutchison: Circulations.
Gary Coleman: Circulations that we would have to raise price or we determine that we don't want to sell in those again. So it's more -- we have to a do a little bit more work on that before we can decide whether we raise prices or whether we discontinue in certain segments.
Colin Devine: Okay. And then a second question. In looking at the premium growth this quarter, not only was it, I think, the strongest we've seen in over 10 years on the life side, but also on the supplemental side. And has some of your strategy changed there because of growing this up beyond Family Heritage, and really how much longer do you think you can keep this growth rate going? Because I think you've probably got about the strongest organic growth rate in the industry today.
Gary Coleman: Well as far as on the life side, we have in places seen the higher premium growth and we think we can continue that and our confidence there is that where American Income where we had the largest amount of business, we’re going pretty in there around at 9% range and we expect to continue growth there. Also, direct response the second largest seller -- premium block that we have but we're going excess of 5% there. So we feel confident that we reached this level and we can at least stay at this 9% level. On the health side, we feel the same here because growth prospects I think we want to keep the premium growth on the health side and that's important because you can't needle back just a couple of years ago we had declining health premiums as we had exited some health blocks in the past. So, we feel positive about the future as far as growing the premiums.
Colin Devine: What about the general agency this quarter on the supplemental side? It seems to be surprisingly strong.
Gary Coleman: Well, as Larry mentioned, we've good growth from our individual mezz up sales and then really we had good growth last year, we're having stronger growth this year. So that’s contributing to the -- that other helpline.
Colin Devine: Okay, and then the final one. Again this quarter further improvement in persistency, particularly thinking on the renewal year. How much stronger is that now than what you're pricing for? And what does this say really about your underlying core earnings growth rate since I would that is a significant benefit?
Gary Coleman: Colin, I'm not sure I can answer how that's different from what we're repricing. I know we've seen improvements over lot of products. I just quantify here on the call.
Colin Devine: Okay. Perhaps we can follow-up afterwards. Thank you very much.
Operator: We go next to Tom Gallagher of Credit Suisse.
Tom Gallagher: Hi. First question is to do, let's want to make sure I've this right, did you say 9% of total in-force direct response block was the Rx related underwriting was that the right quantification?
Frank Svoboda: That's correct.
Larry Hutchison: It was the premium received on the '11 to '13 years actually. Just to clarify. 
Tom Gallagher: Okay. That's premium received on the '11 to '13 years, as a percent of that total of the entire Direct Response in force block, or just of those years?
Frank Svoboda: Of the total direct response block.
Tom Gallagher: Got you. Okay. So how do we think about, of your new sales this year so far, how much are Rx, using that Rx data? Can you quantify that? Is it 50%? Is it 100% of Direct Response sales that are relying upon this data?
Frank Svoboda: Yes, it's around 50%.
Tom Gallagher: Okay.
Frank Svoboda: 50% of 2015 sales would be going out using the Rx.
Tom Gallagher: Okay. And at this point -- so it's possible you are going to be repricing 50% of your sales for Direct Response, or is that not the right way to think about it? Is it somehow isolated that the problematic parts are not the entirety of the 50%? How do we think about that?
Frank Svoboda: Well, that's right. It's like what Gary and Larry had mentioned earlier is that we still have to finish the work to determine exactly which segments that we're really not getting the benefit from and where that all kind of lies within that 50%. And there are -- some portion of that may be -- we are getting some at least some incremental benefit from, but that's what -- that's where the work really have to -- so it won't be that big.
Tom Gallagher: Okay. So it's going to be some fraction of that 50% of total sales? And if I --
Larry Hutchison: This is Larry. You've to be careful, too, that the Rx in 2011 was less sophisticated than the Rx in later years. As you develop models to get information you have better combinations of drugs you look at as an indicator of health history. So I don't think you're going to assume that 2011 and 2012 be the same experience as '13 and '14. We have to let some of these facts develop. And we're really in the process. And so -- in fact, the '13 and '14 years may be difference experience over the '11 and '12 years were.
Tom Gallagher: Understood. And just to put this in context, when you look at the block, if you will, that you have identified thus far that you deem to be under priced, are we talking about a block that's actually losing money? Is it just subpar returns? Can you provide some context around that?
Gary Coleman: Yes, Tom, we're definitely not losing money. We're pressuring the margins. Overall margins are being pressured. We're -- we've been in the 23%, 25% underwriting margin for Direct Response over the last few years. This year is going to be closer to 21%. And it's early, and our preliminary estimates of how this plays out, we don't see that profit margin going below 18%, 19% at [indiscernible]. So even if that all develops on that basis, we still are going to have 18% to 19% profit margin. We're not in a position of losing money at all. It's just that margin is not as high as it has been in the past.
Larry Hutchison: So the lowering of that range it could be higher than the 18% or 19%.
Gary Coleman: Yes, that's the low ends 18% and 19%. Well, they could be -- that's a worst, so say be somewhere between that and the 21%. And then over time as we price, so we'll get better.
Tom Gallagher: Okay. And then my last question on that is, when you look back to when you began to use the Rx data and pricing on that basis, was it done in response to the market becoming a lot more competitive for you? Had it become more price elastic than it was historically? Like what was the driver of starting to use this, and has that overall part of your business become more price sensitive?
Larry Hutchison: If you look at 2011 we saw this as a tool that we could use to better quantify and better look at the risk we're going to underwrite. And the difference is we've assumed that it had a more positive impact than it actually did, so that was a mistake. So it's just the actual experience is not as profitable as we anticipated. That affects your marketing as you go out in those lower performing deciles. So I don't think this is a huge surprise, it's just we -- the business is profitable. We just anticipated a higher profit level for the 2011 year than what's actually developed.
Gary Coleman: And Tom we've always looked at the response because we haven't -- in Direct Response, we just can't, from the call standpoint and the time standpoint, do a great deal of underwriting. That's just been the history of Direct Response. What we thought when this came out use of prescription drug, as Larry mentioned, we thought this is a low cost way of getting better information and then to better underwrite, and if we could better underwrite then we could venture into may be segments that we hadn't before. So the whole process there was just -- it wasn't from a competitive standpoint to meet competitors. It was more a standpoint to give us a better underwriting that we had before.
Operator: We'll go next to John Nadel of Piper Jaffrey.
John Nadel: Hey, thanks for extending the call for a moment for a quick question or two. Just following up a little bit on Tom's question, if we think about Direct Response overall, maybe it was a low to mid-20s margin, and maybe it's got downside for one or two particular years, down to the very high teens. So if we call it about a five-point swing in that margin, can you translate that to ROE of the business?
Gary Coleman: We don't really calculate an ROE on the business. Yes, our return on investment might be lower but we really -- that only really has -- haven't really calculated that, I don't have an answer for that.
Frank Svoboda: Now, and John do you mean for that business as a whole or just the overall ROE for the impact that would have on Torchmark's overall ROE.
John Nadel: Well, I guess either way, you would be able to -- if you could give us some color on that, whether it's for the Direct Response life business, or whether it's the overall impact to Torchmark. Obviously, for the overall impact to Torchmark, it would be considerably less.
Frank Svoboda: Yes, I mean that's what you probably, looking at a half a percent or something that effect there I would guess. But I agree with Gary as far as looking at the business. We don't really look at it in that in fact or don't have that any way right now.
John Nadel: Okay. And then if I think -- following up on the question about the percentage of sales that have been prescription-backed, if you will, in the underwriting process, so I think you mentioned about 50% of sales, but maybe it's some smaller portion of that that's actually become a little bit problematic here. If your decision were we just don't want to play -- we don't want to underwrite in this particular segment, looking out to 2016, let's say, in terms of your pricing decisions, you don't feel like you can get enough price or you won't be able to write any business at the price you need anyway, and so you just decide, this particular piece of the business you're just not going to go after any more, how -- if I think about the dollar amount of sales that that's contributed in 2015 or in 2014, how do we think about the headwind that that causes for Direct Response sales?
Frank Svoboda: I would say that that's information that we will be able to provide better guidance on in the next call as we kind of really get to get our arms around may be which segments that might have. The total premium using Rx in 2015 probably around $30 million but again as we’ve said, there is not that $30 million is going to go away and you're going to just change your strategy and rethink about how which segments you market into and what your circulations going to be, so it will be a change. But I really couldn’t say that we're expecting that to go away.
John Nadel: All right. Understood well we can state here and as you guys sort of hone the data. I guess the last question for you and I realized this is maybe a little nitpicky but turning to health and American income I know it’s mid-teens, maybe mid to upper teens percentage of premium in health segment but or maybe percentage of underwriting income but it looks like the margin there was pressured by a couple of points this quarter. Is it anything more than just maybe some seasonality or normal volatility there?
Frank Svoboda: Yes. I think seasonality for because on the year-to-date basis, the margin there is about the same as it was last year, and year think that’s more of just quarterly fluctuations in the claims.
Larry Hutchison: In second quarter of 2014 around 30% tax rate we tend to be a little bit low than 32% this year on little bit on the high side just what the quarterly fluctuation, I think we’re estimating around 31% for the year-to-date.
Unidentified Company Representative: Loss ratio.
Larry Hutchison: Yes, on the loss.
Operator: We’ll go next to Seth Weiss of Bank of America Merrill Lynch.
Seth Weiss: Yes, hi, good afternoon. Thanks for allowing me to sneak one in. I just want to understand the duration of the business that gone in direct response just get a sense of what the pressure could be in the long-term here and I think it comes back to the contestability period. Is it really the third year that you will or won’t see the spike in claims, so we’re talking about a three year delay in the business that was written. So, if we look out three years from today, 2018 or so or 2019 this will all be corrected or is it a longer duration that direct response business could be pressured in terms of suboptimal returns?
Larry Hutchison: Yes. We really see the higher incidence in claims really third and then little bit less in the fourth and it tends to trail from there. Now ultimately, it will carry on for quite some time. I do think when 2014 and 2015 blocks come in overall that probably gets up to where that is maybe 19% of our total direct response premium and then of course the premium from there will start to go down and as you put new business on the books it will become less and less, have less much of an impact overall. So we really see the impact of this having for the next couple of years and then kind of bubbling if there should bubble in 2017 and then really become less of an issue after that.
Seth Weiss: Okay. And then also just a level set I think earlier in the call you talked about 51% to 52% benefit ratio in direct response as maybe a run rate for next year, as '14 and '15 business comes in there could be some rest to that number, am I understanding that, right?
Frank Svoboda: It could be, you do have the you have a base that is in there already with respect to the higher claims for 2012 and 2013 that we’re anticipating in there. So it does include though an estimate for the impact of 2014 and 2015 is included in that.
Gary Coleman: Still do not have that much impact on 2015 because we’re revising our first 2015 issues though we are not reflecting the expected improved mortality from the Rx. So it’s really more of an issue for 2014 but not necessarily 2015 because remember we were this is pass up is the fact that the claims the mortality is higher than what we had anticipated in the reserves. And so…
Operator: We will go next to Colin Devine of Jefferies.
Colin Devine: Thank you. One quick follow-up. Is it fair to say what direct response that you got the most flexibility compared to your other channels if you just tie into exit the segment because you just can’t get the returns you want or to take more aggressive pricing actions?
Frank Svoboda: Yes. We have much more flexibility there that we would on the agency side. We don’t have infrastructure of our agents that would be shocked about changes in products, premiums, you just don’t have that direct response. That’s maybe one of the things that we’ve benefited over the years the flexibility we have.
Colin Devine: Great, thank you.
Operator: It appears there are no further questions at this time. Mr. Majors, I’d like to turn the conference back over to you for any additional or closing remarks.
Mike Majors: Those are our comments and we will talk to you again next quarter.